Tobias Bjorklund: Good morning everyone and welcome to Novozymes Full Year 2020 Conference Call. My name is Tobias Bjorklund, and I'm the Head of Investor Relations here at Novozymes. At this call, Ester Baiget, our CEO, and Lars Green, our CFO will review the performance for 2020 including the fourth quarter and the outlook for 2021. The rest of the executive team is also present. We expect the presentation to take roughly 30 minutes after which we’ll open up for questions. Before we begin, I would like to remind you that the information presented during the call is unaudited and that management may make forward-looking statements. These statements are based on current expectations and beliefs, and involve risks and uncertainties that could cause actual results to differ materially from those described in any forward-looking statements. With this, I will now hand you over to our CEO, Ester Baiget. Ester, please?
Ester Baiget: Thank you, Tobias. And thank you all for calling-in. I hope that everyone has had a good and productive start of the New Year. Since we last met in October, we’ve had a lot of exciting and important achievements through the organization. And I’d like to take this opportunity to mention a few of them. We have structured our business and reporting according to new organization setup. We have hired Amy Byrick from the DuPont as our new Head of Strategy and Business Transformation and Morten Rasmussen from Vestas to Head of People, Sustainability & Brand. They will both join us in April. We have entered into excited partnership with Givaudan that will focus on providing integrated and food and cleaning solutions. Also has announced this week, we have entered into the area of enzymatic biocontrol for agricultural be a long-term partnership with U.S. based company FMC. We have a second exciting acquisition in Human Health to accelerate our North American presence and strengthen our commercial capabilities. We had a strong fourth quarter from an innovation point of view launching 11 new solutions in the quarter alone and reaching a total of 18 launches for the full year. And now our journey becoming a carbon-neutral, our North American headquarters located in the State of North Carolina are now 100% solar powered. As you can see, we have had a very activity level and this in a year that has been different in so many different ways. I am very proud of the way, we as a company who will have digitally navigated due to these difficult times. And now it’s time to look ahead. But before we present the 2021 outlook, I’d like to spend a few minutes reviewing the results for 2020. Could you please turn into Slide #2? Organic sales performance was flat for the year and declined by 3% in the fourth quarter. This was all in aligned with our expectations. And the performance was mixed across the business areas which were impacted in different directions by the pandemic during the year. Household Care benefit while Bioenergy and Grain & Tech Processing contract. Sales in emerging markets grew by 1% organically, while developed markets declined by 1%. And our earnings and cash flow were solid despite a flat organic top line, currency headwinds and one-off costs. Now let's turn to the outlook where we expect sales to grow by 2% to 6% organically in 2021, and we expect solid earnings and cash flows. Sales growth will be driven by innovation by stronger commercial presence and by a gradual recovery in those industries affected by the pandemic. Let us now look at each of the business areas in a little bit more detail. Please turn into Slide #3. Sales in Household Care grew by 5% organically driven by the Freshness roll-out, increase penetration in emerging markets and supported by increased consumer demand for laundry and dishwashing detergents. Sales were flat in the fourth quarter and this was as expected and driven mainly by de-stocking and lower demand from the professional cleaning area. In addition, last year Q4s competitor was quite demanding. To roll-out of the Freshness platform continues to drive growth and to develop according to plan. The technology is available to consumers across most major European markets and as well as parts of the Southeast Asia, the Middle East and Africa. Looking ahead in 2021, growth will be led by the continued penetration of our solutions with the focus on emerging markets. And along with increased penetration, we are preparing for the broad market launch of the Freshness technology. This is a key milestone, and it is expected to become an important growth contributor in future years. We’re also expecting consumer sustainability awareness to become an increasingly important trend. This is shaping up to become an exciting long-term driver for increased use of enzymes and microbes across the cleaning space. Please turn into the Slide #4. Excuse me Food, Beverages and Human Health grew by 1% organically in 2020 compared to 2019. The performance was mixed with food doing well benefiting from increased at home consumption, while beverages mainly brewing was impacted negatively by COVID. Human Health progress well, although it only accounts for a relatively small part of the business area. In the fourth quarter, sales declined by 4%, which was roughly in line with expectations. The decline was given driven by de-stocking in baking, while beverages improved compared to previous quarters. We have seen exciting progress for the strategic opportunity area Human Health. In Q4, we launch a new product BioFresh 4+ and announced the Microbiome Labs acquisition. By acquiring Microbiome Labs Novozymes has added a broad range of purity Microbiome Solutions. The acquisition also creates an attractive entry point into the North American probiotics market via network of healthcare practitioners. It is a key milestone for advancing Novozymes human health activities. BioFresh 4+ is a clinically proven enzymatic technology for fighting bad breath, giving up to four hours of lasting effect. Additionally, in the food space, we launched three new products for baking, two of which target the broad market of Optiva® LS, which allows for the reduction of chewing breath Gluzyme® Fortis a sound reducing [Indiscernible] to baking conditions in emerging markets. And for 2021, we expect broad based solution growth across Food, Beverages and Human Health. Innovation in emerging market penetration supported by increased consumer dietary-health awareness and the main drivers for growth in the food business. In beverages, we expect the gradual recovery following the 2020 COVID-19 related disruption. Please turn into Slide #5. Bioenergy declined by 9% organically in 2020. While the performance was mixed across the regions, the decline was expected and driven by the lower ethanol demand in U.S. following COVID-19 related stay-at-home restrictions. According to the U.S., Energy Information Administration, production rates for 2020 are estimated to be down 12% to 13% compared to 2019. Outside of the U.S., all major regions contributed to growth. In the fourth quarter sales declined by 4% similar to the full year trend, the decline was driven by lower industry production rates in the U.S. However, the performance in Q4 improved compared to the lows early in the year. We also launched a new solution called Fortiva® Hemi, Fortiva® Hemi unlocks improvements in both corn oil and ethanol yields and is another step on our journey to provide even better full service solutions to ethanol producers. Looking ahead, the U.S. ethanol production is expected to gradually recovery in following last year's heavy industry disruption with the full recovery to 2019 production levels not expected until later. Further, uncertainty persists in the U.S. with high ethanol inventories low producer margins and continued concerns about gasoline demand. Exports more miles driven and higher blending are ways for the industry to expand. Outside the U.S., Novozymes solid present combined with an underlying capacity expansion is expected to support growth also in 2021. And please turn now into Slide #6. Grain & Tech Processing a combination of the former food and beverages processing areas and what we previously referred to as a tech and pharma declined by 1% in 2020 and by 4% in the fourth quarter. The performance was mixed with tech being the reason for the decline both for the year and in the fourth quarter. The decline was due to the negative impact of COVID-19 causing significant disruption in global textile production. While the performance was still negative compared to Q4, 2019, sales declined less in the fourth quarter compared to earlier in the year. Grain posted solid growth in 2020, with the fourth quarter roughly flat. Growth in 2020 was broad-based and especially strong in grain milling and vegetable oil processing. Starch grew slightly in 2020, but declined as expected in the fourth quarter due to timing. And for 2021 Grain & Tech Processing is expected to grow. Growth in the grain business is led by vegetable oil processing and in tech growth will mainly be driven by a gradual recovery in the global textile industry. Please turn into Slide #7. Agricultural Animal Health and Nutrition grew 1% organically in 2020 and declined by 6% in the fourth quarter. In 2020, the double-digit organic sales growth in agriculture was broad-based across the main categories. Also, sales benefited from our one-off in the second quarter as previously highlighted. Sales in the fourth quarter decline mainly due to timing. Animal Health and Nutrition declined in 2020 following a weak second half of the year, including the fourth quarter. The full year sales decline can be explained by partially by inventory adjustments following a strong first half of the year and partially by related weak in market demand for our nutritional solutions. In 2021, we will continue to build and develop the BioAg business across crops and regions, aiming for an underlying double-digit organic sales growth. For Animal Health and Nutrition, the outlook reflects persistence certainty. These related relates particularly to the nutrition part of the business, as inventory levels in the value chain and COVID-19 implications are less clear. A strong product portfolio and partnership setup coupled with signs of improving farm and economics, following many years of challenging conditions make us cautiously optimistic about the coming years. And that's all for me now. I will hand over to Lars. Lars please?
Lars Green: Thank you, Ester. Please turn to Slide 8. Let me start by reviewing the performance of our sustainability and non-financial targets. As part of the updated strategy, we adopted a new set of ambitious sustainability targets. The framework considers both our opportunities for having a positive impact through our commercial solutions and our responsibility to minimize the impact of our own operations. The targets focus on the impact Novozymes products have globally as well as our own operations and on our employees. For each of the global challenges, we have defined long-term 2030 commitments to set the direction and mid-term 2022 targets to drive performance in line with our strategy. Here in 2020, we are already well on track to deliver on 12 out of our 13 targets set for 2022. We are very encouraged by this and it demonstrates our relentless focus on the important ESG related agenda. Now please turn to Slide 9 for our 2020 financial performance. The Group's organic sales performance was flat for the year and declined 3% in the fourth quarter. Sales in reported Danish krone declined 3% for the full year and 8% in the quarter. Adverse currency developments especially in relation to the U.S. dollar had a significant negative impact on reported Danish krone numbers, while the additional sales from PrecisionBiotics Group, which was acquired in June, had a smaller positive effect on reported numbers. We delivered a solid set of financials in 2020, despite the very challenging conditions. The gross margin increased from 55.3% in 2019 to 56.0% in 2020. The full year gross margin benefited from lower input costs, improve production efficiency, and a one-off settlement in the second quarter related to the former BioAg setup. The adverse currency developments and severance costs related to the September 1 reorganization affect the full year cross margin negatively. The fourth quarter gross margin was 55.5%, slightly lower than the 2019 figure due to negative currency effects. The underlying full year and fourth quarter gross margins adjusted for one-offs and currency effects were somewhat higher than in the corresponding periods of 2019. The EBIT margin ended at a solid 26.1% in 2020. This was 2 percentage points lower than in 2019 and the differences explained by currency M&A and one-offs. If you look at the 2019 EBIT margin, it benefited from the recognition of deferred income at the termination of the BioAg alliance in the second quarter of that year, as well as proceeds from divestment of a pharma related royalty in the second and fourth quarters. Also, it was negatively affected by restructuring costs in the third quarter of 2019. The EBIT margin in 2020 was positively affected by the aforementioned one-off in BioAg, and a consistent income from that same pharma related royalty divested in 2019. Furthermore, the EBIT margin was adversely affected by severance costs related to the September 1 reorganization, transaction costs and P&L effects from the acquisition of PrecisionBiotics as well as transaction costs related to the Microbiome Labs acquisition in the fourth quarter. Also, we incurred an impairment loss in the fourth quarter. The adjusted EBIT margin, excluding one-offs, and accounting for currency headwinds ended at around 27% in 2020. This was roughly 1 percentage points higher than the 2019 adjusted EBIT margin of around 26%. The improvement was mainly driven by a higher underlying gross margin and lower operating costs. The reported EBIT margin for the fourth quarter ended at 23.1%, which was 6.5 percentage points lower than in the fourth quarter of 2019. However, adjusted for the aforementioned one-offs, M&A and currency headwinds, the EBIT margin in the fourth quarter was roughly 26%, which was similar to the underlying EBIT margin in the fourth quarter of 2019. The return on invested capital, including goodwill ended at 18.9% in 2020, which was 2.2 percentage points lower than in 2019. The decrease in ROIC was due both to lower net operating profit after tax and higher average investor capital. Net investments excluding acquisitions ended slightly above 900 million Danish krone in 2020. This was slightly below the level in 2019 and equal 7% of sales for both years. The free cash flow before acquisitions ended at a very strong 3.4 billion Danish krone in 2020. This was 1.2 billion more than in 2019. The improvement was mainly driven by higher cash flow conversion from better earnings quality, the one-off in BioAg, as well as positive changes and timing effects in working capital. Please turn to Slide 10 for the 2021 outlook. Organic sales are expected to grow by 2% to 6% in 2021. The upper and lower bounds will mostly depends on the pace and level of the gradual recovery in the markets. Seen over the year, we project organic sales in the first quarter to decline by mid single-digits due to a tough comparison. Full year sales and reported Danish krone are estimated to be roughly 1 percentage point less than the organic sales growth outlook due to a negative currency effects and a positive M&A effects. For the business areas, organic sales in Food, Beverages and Human Health and Grain & Tech Processing will grow by mid single-digits and Bioenergy is expected to grow by mid-to-high single-digits. Household Care is forecasted to grow in the low single-digits in 2021 following a better than expected performance in 2020. And we expect flat-to-low single-digit growth in agriculture, animal health and nutrition. The EBIT margin outlook is 25% to 26%, including negative year-on-year impact from currency and M&A related effects of close to 1 percentage points each. Hence, adjusting for the negative currency and M&A related effects the implicit underlying EBIT margin is 27% to 28%. This is an improvement compared to the underlying EBIT margins of roughly 27% in 2020 and roughly 26% in 2019. The underlying developments is mainly supported by sales growth, as well as productivity improvements and also includes continued reinvestments in the business. The free cash flow before acquisitions is expected at 2.7 billion to 3.1 billion Danish krone. This is slightly lower than in 2020, as higher net investments and timing in working capital offsets the positive effects of higher sales and an improved operational cash flow. Net investments I expected at between 1.0 billion and 1.2 billion Danish krone. This reflects maintenance, expansion and optimization CapEx. And the outlook for the return on invested capital including goodwill is around 19%. Subject to approval at the Annual Shareholders Meeting in March, we proposed an unchanged dividends of 5.25 kroner per share corresponding to a payout ratio of 51.9% compared to 56.8% last year. In addition, we are initiating a share buyback program of up to 1.5 billion Danish krone for 2021. This is in line with our capital structure policy to return the free cash flow generated to shareholders through a combination of dividends and share buybacks at a net debt to EBITDA ratio of around 1. In summary, we expect positive sales and financial developments in 2021, while being mindful of the uncertainty related to the ongoing pandemic. Before I hand back over to Ester, I would like to give you an update on how we're tracking towards our mid-term targets. You'll find them on Slide 11. We set the mid-term targets back in June 2019, based on a stable world economy, stable currency environment and excluding M&A activity. But the world has not been stable and currencies have moved Novozymes has made two acquisitions in the Human Health space. We have scenarios for the 5 plus percent mid-term organic sales target in our 2021 outlook and in our plans for 2022. However, the world has changed, and so we have some of the parameters from 2019. And we address these new circumstances with a relatively broad 2021 sales outlook. When it comes to our earnings, we are also on track to deliver on our mid-term targets. The implied 2021 underlying EBIT margin is 27% to 28% on-track towards meeting the mid-term 2022 targets of 28% or higher. And the same applies to the underlying return on invested capital, including goodwill, where we see 23% as being within range. And finally, we're also on track to deliver on 12 out of our 13 ESG related non-financial targets. With this, I'll now hand back to Ester for wrap up before we open up for questions. Ester please?
Ester Baiget: Thank you, Lars. Please turn to Slide #12. The work we've done during 2020 has built a solid foundation and positioning us to accelerate growth, securing our long-term potential. To continue our progress here in 2021, we will amongst other things work to drive sales from new solutions launched during the last five years to constitute more than 40% of our sales. Work to generate more sales leads with at least 50% of those sales leads generated digitally engaged in at least three large commercial R&D partnerships. We announced the first one yesterday, through the collaboration with a U.S. based Ag Company FMC. To drive and be a strong voice on the world stage for the ever increasing need for sustainable solutions by taking part in at least three global events, such as the World Economic Forum in Davos last week. To summarize the message here today, we have a positive view on 2021 and beyond despite the uncertainties and the persistent challenges from COVID-19. We continue to focus on bringing the voice of the customers into our business. And this will ensure that the solutions launched from our innovation pipeline are translated into commercial success with an even greater impact for our company and for the world. And with that, we are ready to take your questions. Operator, please begin.
Operator: Thank you. [Operator Instructions] In the interest of time, please limit yourself to one or two questions per turn and you may rejoin the queue to ask further questions. Our first question comes from the line of Gunther Zechmann from Bernstein. Please go ahead.
Gunther Zechmann: Good morning Ester. Good morning and Lars. And I will start with two, please. First, I'd like to understand better your mid-term targets in the context of your 2021 guidance. And so understandably quite wide guidance for 2021 given the uncertainty, but the 5% plus, is that a year or a CAGR target? So anything that you may or may not achieve below 5% in 2021? Do you expect to recover that in 2022 or beyond that? That's my first question. And the second one on BioAG thanks for splitting out the targets for 2021 as well with double-digit growth. Can you just remind us how big soy is, is it around 40% of sales and BioAG today, and how much of the double-digit growth that you guide for -- is from improved soft commodity prices, mainly soy and how much is Novozymes specific product launches and higher penetration of acreage?
Ester Baiget: Lars, if you could take the first question on the aggregated sales and Tina then follow up with BioAG.
Lars Green: Yes, thank you for that question. So the way to understand our mid-term targets is that that this is sort of on an annual basis. So it's not cumulative. So you should consider them one-by-one. So that's how we have defined the long-term targets.
Tina Fanø: And on BioAG, so we are looking at as you were saying the double-digit growth when adjusting from -- for the one-off which we had in 2020. And we expect growth both to come from corn and soy. We see a growth from -- also from our bio control area, both with the -- you could say with the products we have in the market like this and [indiscernible] partnership which we have, and then also from our innovations in the upstream corn area. So it is -- the growth is going to come from a mixed of innovations as well as acreage expansion and how we go to market. You also asked about how big is soy out of our BioAG and it is roughly a third I would say.
Gunther Zechmann: Great. Thanks, Tina and Lars. That's helpful. Thank you.
Operator: And the next question comes from the line of Laurence Alexander from Jefferies. Please go ahead.
Laurence Alexander: Good morning. Two questions on Bioenergy. With the shift by the U.S. ethanol producers to start really towards more co-products whether high protein cuts or you trying to convert dry mills into sugar plants, is that -- are those transitions and net positive or negative for Novozymes compared to the enzyme sold into the ethanol production? And secondly, can you give an initial view on how the RFS might evolve after 2022?
Ester Baiget: Tina, please.
Tina Fanø: Yes, it was super good questions. So on the co-products, we are -- I would say it is neither negative nor positive. What is positive and that's what I think you'll see most is that the ethanol producers, they need to have a good margin in order to operate. And the possibility for them to generate more value from co-products is a positive in that aspect. The enzymes we are selling is also important for them to help them get higher. If you could say higher benefits, whatever it is, whether it is in DGTS, whether it is in corn oil, and so forth. And it gives us an innovation space to enter into. I'm sure you remember, we announced also a collaboration in that field with Green Plains about a year ago a bit more than a year ago. So, I would say it is a slight positive for us. It gives extra innovation space. But overall, the most important is that the ethanol we would say or the bio refineries that they have a good outlet for the products being it ethanol or being it something else. Then and the second point you were asking about with the RFS beyond 2022. So in the U.S., right now there is the mandated blending of these roughly 10% based on the RFS. I think that what is key there is that in the U.S. and if you look at the economy for blending in ethanol, it is securing that you have a cleaner fuel, and it is securing that you have a more cheap fuel at the pump compared to if you didn't include ethanol. So overall, I would say that it is more the economics, which is supporting ethanol being blended in the U.S. However, it is also important for the blending in that you do have the octane boost, which is an important part of the fuel mix as well. So, I'm convinced that no matter what the RFS is going to bring beyond 2022, that there is both on economic as well as performance based need for ethanol in the fuel mix, and then not to forget that the CO2 reductions that it is delivering to the world.
Laurence Alexander: Thank you.
Operator: And the next question comes from the line of Søren Samsøe from SEB. Please go ahead.
Søren Samsøe: Yes, good morning. It’s Søren from SEB. First, on the new other margin, you're talking about 21 underlying 27 to 28. When you say you can compare with 27 last year and 26 in 2019. Could you just -- when you then say would you compare with those years? What did you then in that calculation exclude and include in terms of -- you can say yes, one-offs things you think you should adjust for? That's my first question.
Ester Baiget: So I’ll stay with the first question. Then Lars, could you please answer that one?
Lars Green: Yes. Thank you, Søren for that question. So as we said, this year 2020 was impacted by a number of one-offs, one of them being the reorganization and the cost associated with that. We have also in the second quarter, you will remember we have a positive contribution from the BioAG settlement. We also have M&A related effects. In 2020, both the acquisition cost for PrecisionBiotics and Microbiome Labs, as well as a bit of impact on the on the ongoing operational margin from PrecisionBiotics been on our books for half a year. And then here in the fourth quarter, we took an impairment loss of one of our intangible assets. In 2019, we had a very substantial income in the second quarter in particular related to the termination of BioAG -- of the BioAG alliance where we basically took the deferred income we had on the balance sheet and record as another ordinary income. And likewise, we sold and divested the pharma related royalty stream, and that both impact the second quarter and later on also a sort of deferred income on that or contingent income in the fourth quarter. And then, in 2019, we then had a negative impact from some of the restructuring costs we had in the third quarter. So those were the effects of 2020 and 2019.
Søren Samsøe: Great, thank you. And then just a bio ethanol minus 4% in Q4, just -- how did that compare with growth? And what has sort of -- what could what have impacted that you have grown differently than [indiscernible] How's it -- how's that -- how's it been going in East and in Brazil and et cetera?
Ester Baiget: Tina, please.
Tina Fanø: Yes. So, Q4 EIA numbers is roughly a minus 7%. So it's a stronger performance from Novozymes side. It is driven by I would say, a number of things, either timing between quarters, as I'm sure it's difficult with exact, you could say, splitting in that open quarters. Then we saw growth from -- yes, both from East continued from East but also, I would say mostly from the emerging markets, Latin America, as we have talked about a number of times. And then I also think it's important to say that as we also have talked about a number of times, yes, EIA is an estimate. It's not the only estimate which there are for the U.S. ethanol industry. Our customer base now and then does something different and so does our performance. But overall strong performance -- stronger performance than what EIA is indicating driven by a mostly Latin America, I would say but also other emerging markets.
Søren Samsøe: Okay. And then finally and if you could just tell us, how would you think about -- how would the higher corn prices that you have seen recently impact your business net if you look across the areas in 2021. And also, if you can remind us how big part of group earnings today that BioAG is? Thank you.
Tina Fanø: So on corn prices, what we are seeing is that, in general, higher commodity prices mean that there's more benefit on the solutions we are bringing. So that makes me -- you could say cautiously optimistic for the agriculture area so including the feed area and then also in the grain side, as we also see stronger benefit for our solutions there. On the grain side, we need to watch that as well, what is happening to sugar, as you know, and then on the bio ethanol side or Bioenergy side, it is -- you could say the inventor or the margin for the producers, which is important. So overall, a higher corn price will lead to more waste in order to generate a yield. But it needs to be that there's also a demand for the products or for the ethanol out in the market. Because if not, if the margin becomes too depressed, then the producers will stop producing and then that's a negative. So a bit mixed picture.
Ester Baiget: Lars could you build on also?
Lars Green: Yes, so just one supplemental fact, which is that some of our input cost is of course also depending on the on the corn prices, so there is there a little bit of a negative margin impact on the gross margin from an increasing corn perspective, so. So just adding on top of the business perspective on the sales that Tina shared.
Søren Samsøe: And a big part of your earnings was spiked today.
Tina Fanø: So on the turnover wise, there BioAG is roughly a third of the segment on agriculture. Profit wise we do not share that detail level, even at the sub segment level.
Søren Samsøe: But margins are lower than group -- that would be fair to assume, right?
Lars Green: So Søren we're not sharing the margins per business area, I think what you will know is that we have significant investments from an R&D perspective. And of course, we are making those investments in return for unexpected longer term growth. But we're not sharing the details on the margin by the business area.
Tina Fanø: What is important to mention on BioAG is first a strong pool that we see from the industry on the increased need for more sustainable solutions from both from the yield enhancement but also from a biocontrol perspective. And then that this is a long-term journey that we are investing. And we are firmly moving ahead just because we see the strength and the fit for our solutions as providing the answers. The recent announcement we've made on the partnership with FMC is a true example of the strength of our portfolio and why enzymes will be an enabler of replacing chemicals and in the use of pesticides today. So we are in, we fully in and we believe on the long-term growth capabilities for this business as it continues to contribute to the bottom line today and will deliver growth also in 2021.
Søren Samsøe: Okay. Thanks, guys.
Operator: And the next question comes from the line of Michael Novod from Nordea Market. Please go ahead.
Michael Novod: Yes thank you very much. It's Michael from Nordea, two questions as well. So first of all, maybe I didn't hear it, but could you perhaps just split up the FX impact and the M&A impact. So the actual negative FX and the actual positive M&A impact for 2021? And then secondly to your mid-term targets, just to get right so, let's say only 2% or 3% in 2021, and then you do 5% in 2022. We then have met the targets but I guess doesn't sound like that on your CMD ‘19 it was more sort of an average of 5% plus per year. And to that question as well, it's an organic sales growth on your slides at CMD whereas when you look in your printed Annual Report now it just said sales growth. So is it organic or is it reported, just to get including M&A?
Ester Baiget: Thank you. I will let Lars go into the individual fundamentals from the individual finance components of your question. If there is one thing I would like you to hear from us is that we are a company that its position for growth from both an innovation capability from the platform from a technology and that the work that we deliver with the results that we show in 2020, if anything, it shows our capability to react to very volatile demand to capture the upsides, what we did in Q1, but also to capture the ups the recovery that we saw through the year in Bioenergy or segments like textile. So this year, and the next one to come, we're going to continue to work and deliver on the underlying fundamentals that were set. When we put our growth ambition, those ones remain intact. We're going to continue to deliver our innovation, we're going to continue to bring in a stronger presence into the commercial or a closer to the margin geographies are stronger penetration of digital capabilities. We made the milestones already and putting the foundation for capturing growth in a segment such Human Health with the two acquisitions we put. We are also living in a wall with volatility and we embracing that one, what I want you to hear from us is that we're moving ahead firmly on the areas that we can control. And those ones we stay firm and positive and extremely motivated. And then we're reacting to the uncertainties that the market brings in translating the number in the highest one, that it's possible. We are in the growth space.
Lars Green: Yes. And then to your questions, Michael. So on the guidance for 2021, we said approximately 1 percentage points of negative impact from both foreign exchange rates and also from M&A. And I think if you sort of take a look at the transparency we have provided on the exposure to U.S. dollar, then you will see that we have roughly 35% of our sales denominated in U.S. dollar. And if you look at the development from an average of 654 in 2020, to the current spot rates, that's a decline of 6% to 7%. And we say that 5% impact is roughly 130 million to 160 million krone on EBIT. So those factors means that from a U.S. dollar alone, we are roughly three quarters of a percentage points impacted on the EBIT margin. And then you have the Chinese Yuan and some emerging market currencies on top of that, and you get to the 1 percentage points of impact on the EBIT margin. And then I'll just remind you also that that some of that comes back on the net finance, where you see the benefit of our currency hedging. So if you look at our balance sheet, you can see that we have more than 100 million of assets in our hedging contracts there. And therefore also our guidance on net financials is a minus 50 million, where we then see the impact. So you get a vast majority of that back on net finance, what we lost on the U.S. dollar.
Michael Novod: Just to give us the split out on the impact on the top line, how much is FX and how much is M&A of course, do the calculations but it would be easy if you had the numbers?
Lars Green: Yes, so on the top line it’s roughly 3 percentage points of negative currency and plus 2 or so on M&A. And that plus 2 comes from the 250 million krone. So of base that we also shared with you in December when we announced the acquisition of, of Microbiome Labs, and then it's roughly 100 million of the baseline from PrecisionBiotics Group, where half of that, of course, helped us in 2020. So that's how those are compounded. And we've also transparent last year when we announced the acquisitions that each of them will impact the EBIT margin negatively by roughly 0.5 a percentage points. So, there you have your 1 percentage points negative EBIT margin. So, we have tried to be transparent along the way, and I think you can calculate those FX from what we have said over the years. And then on the mid-term guidance as we also set this year, we sort of embrace the uncertainty here related to the pandemic situation with a broader guidance of 2% to 6%. And you can say that the speed of the recovery is sort of what determines to what extent we will be sort of at the upper or lower end or at the midpoint. We have made some assumptions that brings us to the midpoint but of course, we are only trying to make our assumptions around the speed. Now obviously if the pandemic goes on for a long time, and the effect is lasting through 2020 and we see a recovery or rather ‘21 sorry, and we see a recovery in ‘22. Then obviously that makes it easier for us to deliver stronger growth in ‘22. But when we announced the long-term financial targets in 2019, we said we were targeting 5 plus percent in each year, and 2020 it would be -- would probably be impacted by portfolio changes. So that's how we communicate in the summer of 2019.
Michael Novod: It was more the concept of how it's defined whether you hit the targets. So if you do zero in ‘20, you do let's say, theoretically, you did zero in ‘21. And then you did 6 in ‘22, would that be defined as meeting the targets?
Lars Green: So we are targeting 5.
Michael Novod: Okay when you do 6 in ‘22.
Lars Green: So we're targeting Michael 5 in each of the years, and that's what we believe we should deliver. So that's, what we consider success. We are just saying that in 2021, there is still a lot of uncertainty, and therefore we are guiding you 2% to 6% and in that you also see scenarios where the 5 plus percent is within reach. And then we also aiming to deliver 5% on top of that in ‘22. So that's what we are aiming for. And that's why we are still holding firm on the long-term targets.
Michael Novods: Okay, perfect. Thank you.
Operator: And the next question comes from line of Thomas Wrigglesworth from Citi. Please go ahead.
Thomas Wrigglesworth: Thanks, everybody. I have two questions? Just as a kind of a follow up to that a more clarification, just on that 2% to 6% range can you give us what were kind of conditioned towards the higher end of the range you do you know, when you gave that outlook? And then secondly, kind of you weighted in grain that you expect to grow, does that include the Chinese sugar business, which obviously, we're seeing very significant margin pressure at this point? And can you unpack what you expect -- production to relative to that grown sugar processing business within that guidance? Thank you.
Ester Baiget: Yes, on -- I will take the question on the range and then pass it to Tina. The range of 2.6 as -- from 2% to 6% as a last describe it embraces both our -- as moving ahead firmly on the areas that they fully in our control and in -- that we set as the foundations of our aspiration and also embracing the volatility or the uncertainty that COVID that still present in each of us. It’s also true that we have provided vendors from the individual segments that they put the granularity and where we see the growth to becoming in a stronger fast in Household Care. We aiming low single-digit couple with a strong growth of 5% that we had in 2020. In food and health, we are in the space of aiming mid single-digit growth in bio energy and mid-to-high single-digit aiming for a recovery of bio ethanol in U.S., but also the continued penetration in emerging geographies. The faster that recovery, the higher the space of growth that we will all be as we said also before if we show something in 2020 was our capability to react and to respond to the market when the demand picks up. BioAg and animal health, we are on the flat-to-low single-digit with a double-digit -- with the strong growth that we aiming in BioAG coupled with a higher level of uncertainty in the value chain specifically in an animal health on the -- in animal nutrition in the nutrition segment, with continued growth on innovation and Balancius in the health aspect. And then grain and tech. Here we are aiming on the mid single-digit with technical recovering specifically the textile industry from it was a low and -- the lows in last -- in 2020. We saw the recovery already in Q4. And the trend we are aiming to continue to be again the faster, the faster our growth, while also the penetration of solutions in processing oils as a main driver of the growth in grain. So overall, a robust portfolio that set us equipped to deliver o the -- to be on the growth. And then with a mid-term of four and now with the full alignment of the team to make it as high as possible embracing that the wall that I believe it is uncertain and volatile. And Tina, I'll pass it to you.
Tina Fanø: Yes, so on the grain side and specifically on China and what is happening there. So, as of now you could say there's solutions we are having in the grain space is in fact three areas. It's starch and distilling, which we expect to be flattish, we have grain milling, where we expect strong growth and then we have some oil processing, which is for example our degumming a and some oily chemical solutions we are having. And there we expect also very strong growth. So, when -- that also goes for our business in China. Overall on starch and the part of grain there, we are both having a -- the grain processing setup and then we have the sweetener business. And on the sweetener business right now in China, we are still seeing support for our solutions compared to sugar.
Thomas Wrigglesworth: Okay, that's helpful. Thank you. Thank you guys.
Operator: The next question comes from the line of Lars Topholm from Carnegie. Please go ahead.
Lars Topholm: Yes, a couple of questions from my side. I was quite impressed by the 18 product launches in 2020. Is this a function of changes to how you do R&D? And can you comment on how these product launches expected to contribute to sales in 2021 and then beyond? And then secondly, on the Freshness platform and the bigger roll-out? Can you comment on how that is expected to contribute to the low single-digit growth you guide for Household Care for the full year? And maybe also give some details on what it means I assume it means roll-out in the U.S.? And then I just had a very quick household question on the long-term target. So when you margin target of 28% was at constant currency given the currency situation today, does that mean your target currency adjust this is now at 27% margin for 2022? Thank you.
Ester Baiget: Thank you. And we're also very proud of the penetration of our innovation and the traction we're getting in the market in a time that if anything, it could be reasons to provide the excuses to delay the launches. If those 18 launches are going to contribute on the target that we just -- the commitment that we shared briefly A few minutes ago, it was under 30% of our total revenue to be coming from solutions that they are less than five years old and those launches together with the ones of the past. They are both enabling the foundation of continuous RKB market but also drivers of future growth leading in total to 30% of the total revenue and also a solid contributor of the profitability of Novozymes. And with that, I'll pass it to you Hannah's for commenting deeper on Freshness.
Unidentified Company Representative: So thanks a lot for the question Lars. Let me start with the low single-digit, because of course, that's built-in with our Freshness assumptions. Now we delivered a very strong 2020 and it's on that basis that we are guiding for ‘21. In that light, I think it's important to stress that we deliver probably to the tune of a couple of percentage points better in 2020 and we see there's a substantial risk that some of that growth will not come and that will reverse in 2001, especially relating to the first half and again in March and April where we saw a very significant spike. We've seen this basically laundry normalized through the. So we see ‘20 and ‘21 in combination, and that will give our Household Care business to a growth level of 3% to 4%. Now coming to Freshness, we don't disclose specifically what the core growth contribution is from Freshness. But I will say that we had a -- we will have a slower year in ‘21 when it comes to growth in Freshness and we had in 2020. But that was part of the plan. We knew that this would not be a straight line. And we knew that this could be relating to new product introductions. To watch out for in terms of Freshness, we are bringing a broad market solutions in the powder space mid-year in ‘21. Of course, there's a sales cycle. So it will not contribute substantially in ‘21. That will take effect and ‘22 wins ‘23. And then to your last point on U.S., we do not disclose exclusive collaborations and where we are launching technology with our innovation partners. I hope that clarifies.
Lars Topholm: Sure, thanks. And then the mid-term margin?
Lars Green: Yes on the last question Lars the -- our guidance is 28% assuming the U.S. dollar rate where we had back in June of ‘19. And I mean obviously we can't sort of change the guidance with a change in the spot rate of the U.S. dollar which was around 650 or so back then. So therefore, that is how we guide. And obviously, if we have a spot rate that's at the current level, then it will be a roughly 1 percentage points harder to get there. And the underlying margin would then sort of be the what we live up to. But we stick to our guidance to say, 28% EBIT margin, assuming the spot rates we had back in June. And then you make your calculations of other currency developments since then.
Lars Topholm: You can just buy a lot of dollars last, and then we'll get back to 650. Thank you for answering my questions.
Lars Green: You're welcome.
Ester Baiget: Our thanks to you.
Operator: The next question comes from the line of [Indiscernible] from JPMorgan. Please go ahead.
Unidentified Analyst: Hi, how are you?
Ester Baiget: Very well, I'm pleased to be here.
Unidentified Analyst: I have three questions. How long would it take to get a bio pesticide product to the market in your collaboration with FMC -- when your project, two year project? And how do you measure them? Like the product opportunities like, 100 million krone per product wasn't smaller or larger? And my second question is, is whether you can speak about your partnership with Givaudan other product or revenue targets that you plan to choose or like a two or three year period, and I was wondering whether you can just talk about that? Thanks very much.
Ester Baiget: Thank you. I'll let Tina and Hannah's answer both on AG and Givaudan. And maybe one holistic, common overall is that embracement of partnerships, as an enabler of bringing our solutions faster and closer to the market and also getting closer to the market and to the consumer needs. And then translating those ones into answers with what we know what to do next, which is master science and innovation. Tina?
Tina Fanø: Yes, so let us talk a bit about the bio control segment and the replacement of pesticides. So and it was not an area which was much in focus during our collaboration and our partnership and our alliance with Monsanto. However, we have for quite some time had a product have been selling products into it and we have supplemented it with the Taegro launch this year together with Syngenta. That's a microbe and it's attacking a certain fungal infection in fields. Now, what we are doing now with the FMC collaboration is that we are targeting a new area. And we're using a new technology. So this is the first time where we are announcing a collaboration on enzymes for use in the bio control space. And here we have two specific targets in mind a combination with a chemical [IMX] and then also as a standalone product, which is a targeting and other fungal infection in fields in this case in soy. And it takes time to get to the market with new solutions. So we expect that that is going to take five plus years. But let's started by saying we have already solutions in the area, for example, our collaboration with Syngenta and with the Taegro launch. So over to Hannah's on Givaudan?
Unidentified Company Representative: So thanks for the question on Givaudan. And let me start with just a little bit of the rationale for why we have made this partnership. We operate in very similar businesses, Givaudan in household canned food and beverages. And we are considering both our technologies as highly differentiating for the end products that we are serving, and both of the ingredients that we deliver our high value ingredients. So we think that there is a significant value in collaborating with a company like Givaudan. And then if you are to move into that space, we believe that there is no better partner than Givaudan being the largest in the areas they operate. Now, specifically to the question, we don't have a specific revenue targets set yet. We are exploring a number of different innovation avenues. And we expect him to file IP during the year of ‘21. And of course, as we start to file IP, we'll also start to get a better feel for what's the value of the partnership. But give us a little bit of time. And we'll come back to sort of more clarity on how we will move this partnership forward. But I think we have started-off on a good track. And I also will finish-off by saying that a lot of our customers are quite excited about working together with Novozymes and Givaudan in a three way collaboration.
Ester Baiget: And we will move to the very last question, please.
Operator: The last question comes from the line of Sebastian Bray from Berenberg. Please go ahead.
Sebastian Bray: Good morning and thank you for taking my questions. I would have two please. The first is on the definition of mid-term within mid-term targets. And this is given in the slides as 2020 to 2022. But I have the feeling that the targets have been rather overtaken by events since they were set. Is it reasonable to think of Novozymes as a 5% plus organic growth company post 2022, what is your own view on the achievable mid-to-long-term rates of organic growth? And my second question is a more conceptual one. There were seemingly breakthroughs made last year by DeepMind and Google as far as protein folding is concerned. And one of the big features of the competitive motive Novozymes has been the data library believe through decades of experiments on how proteins fold. Is there any risk of the barriers to entry being lowered in the industry as a result of this breakthrough?
Ester Baiget: I’ll answer briefly, your first question and then I'll pass it to Claus for the second question. So the answer is absolutely yes, we are a growing company. And we are extremely confident on our capability to be on the growth trajectory 5% plus for 2021, ‘22 and beyond. And what makes us firmly believe that that's the case it is not only the strength of our innovation pipeline, the -- and strengthening we bring in our commercial organization with the latest changes organization, but if anything, the continuous pool and momentum we see for sustainable solutions across all segments, we see that in the detergents with a stronger appreciation for the consumers and our customers of biodegradable solutions. We see the act we just told many questions today in the call on the need on alternatives that will reply pesticides we see them to increase the level of health and -- awareness of health from the consumers and we invest in -- the acquisitions we make in Human Health makes us stronger, to be able to capitalize on such a growing market, across all over the areas in all the markets, we present our solution they provide answers to growing the man-needs. So that puts us naturally as a 5% growing company. Claus?
Claus Fuglsang: So thank you, Sebastian, for scientific question here at the end. So it is exciting innovations from Google, it simply bridges the -- let's say, the sequence understanding of a protein into a structure. So being able to predict you could see functionality. This is something that you would normally take X-ray chromatography and something else like that to study. So it takes time out of discovery. Now it doesn't tell except for function much about how it will work in application, and whether you can at all scale and produce such a protein. So it helps accelerate the discovery process but nothing more at least in when it comes to Novozymes use of these technologies. So thank you.
Sebastian Bray: Thank you for taking my questions.
Ester Baiget: Thank you all for your questions and dialogue looking forward to continue the conversation with many of you in the next for coming days and wishing you a very nice day.